Operator: Good morning, everyone and welcome to the Bruker Third Quarter 2022 Earnings Conference Call. [Operator Instructions] Please also note, today's event is being recorded. At this time, I'd like to turn the floor over to Justin Ward, Senior Director of Investor Relations and Corporate Development. Sir, please go ahead.
Justin Ward: Thank you. Good morning. I would like to welcome everyone to Bruker Corporation's third quarter 2022 earnings call. My name is Justin Ward and I am Bruker's Senior Director of Investor Relations and Corporate Development. Joining me on today's call are Frank Laukien, our President and CEO; and Gerald Herman, our Executive Vice President and CFO. In addition to the earnings release we issued earlier today, during today's call, we will be referencing a slide presentation that can be downloaded from the Events & Presentations section of Bruker's Investor Relations website. During today's call, we will be highlighting non-GAAP financial information. Reconciliations of our non-GAAP to GAAP financial measures are included in our earnings release and are posted on our website at ir.bruker.com. Before we begin, I would like to reference Bruker's safe harbor statement which is shown on Slide 2 of the presentation. During this call, we will make forward-looking statements regarding future events and the financial and operational performance of the company that involve risks and uncertainties, including those related to elevated geopolitical and energy risks, the COVID-19 pandemic and supply chain logistics and inflation challenges. The company's actual results may differ materially from such statements. Factors that might cause such differences include but are not limited to, those discussed in today's earnings release and in our Form 10-K for the period ending December 31, 2021, as updated by our other SEC filings which are available on our website and on the SEC's website. Also, please note that the following information is based on current business conditions and our outlook as of today, November 3, 2022. We do not intend to update our forward-looking statements based on new information, future events or for other reasons, except as may be required by law, prior to the release of our fourth quarter and fiscal year 2022 financial results expected in February 2023. You should not rely on these forward-looking statements as necessarily representing our views or outlook as of any date after today. We will begin today's call with Frank providing an overview of our business progress. Gerald will then cover the financials for the third quarter of 2022 in more detail and share our updated fiscal year 2022 financial outlook. Now, I'd like to turn the call over to Bruker's CEO, Frank Laukien.
Frank Laukien: Thank you, Justin. Good morning, everyone and thank you for joining us on today's third quarter 2022 earnings call. Turning to Slide 4. In the third quarter of 2022, Bruker delivered robust organic revenue growth of 12.7%, well above the mid-single-digit outlook provided on our Q2 2022 earnings call. Our teams executed well despite operational headwinds from lingering supply chain and logistic delays, lockdowns in China and the conflict in Europe. We again saw good demand for our differentiated high-value scientific instruments and life science solutions. And our third quarter 2022 Scientific Instruments segment book-to-bill ratio was again greater than 1. With a strong Q3, we have now made up for our somewhat weaker second quarter, where if you recall, we experienced some revenue delays due to supply chain and logistics. For the third quarter of 2022, Bruker's reported revenues increased 4.9% year-over-year to $638.9 million, despite a very strong currency headwind of minus 9%. On an organic basis, revenues increased 12.7% which included 12% organic growth in Scientific Instruments and 20.3% organic growth at BEST, net of intercompany eliminations, while growth from acquisitions added 1.2%. This implies a constant exchange rate growth of 13.9% for the quarter year-over-year. Our third quarter '22 non-GAAP gross margin increased 150 bps year-over-year to 53.2%, while non-GAAP operating margin was 22.4%, an increase of 180 bps year-over-year. Our gross margin expansion, despite inflation headwinds, is clearly benefiting from our Project Accelerate 2.0 margin mix as well as from our core operational excellence drive volume leverage, pricing and currency tailwinds. Importantly, we were able to deliver strong operating margin expansion in the third quarter, despite our previously announced additional Project Accelerate 2.0 OpEx investments in commercial and R&D capabilities, particularly in proteomics and spatial biology. In the third quarter of '22, Bruker reported GAAP diluted earnings per share of $0.59, up from $0.57 reported in the third quarter of '21. On a non-GAAP basis, third quarter '22 diluted EPS was $0.66, up from $0.63 in the third quarter of '21 and Gerald will discuss the drivers for margins and EPS later. So in summary, the third quarter of '22 again saw solid demand for our differentiated products and robust margin expansion, even as we executed certain plans, OpEx investments in Project Accelerate 2.0 to capitalize on the major opportunities we see in proteomics and spatial biology as well as in Biopharma, Applied, infectious disease diagnostics, cancer research and semiconductor tools. Let me now look at the year-to-date third quarter performance and moving to Slide C -- Slide 5, I apologize, you can see Bruker's performance for the first 9 months of '22. Our revenues increased by 5.1% to $1.822 billion. On an organic basis, revenues grew 10.7% year-over-year, consisting of 9.9% organic growth in Scientific Instruments and 18.7% organic growth at BEST, net of intercompany eliminations. First 9 months 2022 order bookings for Bruker's 3 Scientific Instruments groups were double digits year-over-year organically. Geographically, our year-to-date third quarter 2022 BSI order bookings were led by mid-teens growth in Europe and APAC, with Americas growing in the single digits. Our first 9 months 2022 non-GAAP gross and operating margin and GAAP and non-GAAP EPS performance are all summarized on Slide 5. And we are very pleased with our 80 bps operating margin expansion year-over-year, despite high inflation and the planned investments in our Project Accelerate initiatives. Our trailing 12-month return on invested capital, a non-GAAP measure, was 24.6% which puts us amongst the leaders in our industry. We believe this is the result of our strong Bruker management process and our focus on disciplined entrepreneurialism and organic growth, supplemented by selected bolt-on acquisitions. Please turn to Slide 6 and 7, where we highlight the year-to-date third quarter 2022 performance of our 3 Scientific Instruments groups and of our BEST segment, all on a constant currency base currency and year-over-year basis. For the first 9 months of 2022, the BioSpin Group revenue was $493 million and grew in the mid-single digits percentage-wise. Please note, there were 2 gigahertz-class NMR systems recognized in revenue in the first 9 months of 2022 compared with 3 in the first 9 months of 2021. We now expect 3 to 4 gigahertz-class NMRs in revenue for the full year 2022 which means 1 or 2 are expected in the fourth quarter. BioSpin saw robust growth in Services and Support revenues as well as strong growth in the Preclinical Imaging business. Moving to CALID. For the first 9 months of 2022, the CALID Group revenue of $601 million increased low double-digit percentage with strong growth in life science mass spectrometry and microbiology aftermarket but still with supply chain delays slowing revenue execution. Our timsTOF platform, in particular, saw robust demand for applications in 4D-Proteomics, Epiproteomics and Metabolomics, with double-digit growth year-over-year in revenues and bookings. Please turn to Slide 7 now. For Bruker NANO for the first 9 months of '22, revenue was $559.8 million and grew in the high teens percentage on a constant currency basis. Revenues for our Nano Surfaces tools delivered very strong growth in the first 9 months, while our advanced X-ray business also grew. Bruker NANO's microelectronics and semiconductor metrology tools performed well with strong bookings and backlog. Life Science fluorescence microscopy revenue showed year-to-date growth, the result of product innovation and Life Science research academic demand. Finally, first 9 months 2022 BEST revenue grew in the high teens percentage, net of intercompany eliminations, driven by excellent execution under adverse conditions and strong superconductor demand by MRI OEM customers. BEST demand appears healthy but we continue to navigate through difficult supply chain issues. Moving to Slides 8 and 9, we highlight some important applications and innovations of our instruments. On Slide 8, we highlight recent timsTOF purchases by BioMS, a Swedish national infrastructure consortium for biological mass spectrometry. They did acquire 6 timsTOF systems for 3 institutes in order to advance high-throughput proteomics workflows for clinical research and in future emerging laboratory developed test. The timsTOF HTs were used for plasma cell and tissue proteomics and we're delighted that they also all obtained timsTOF SCPs for single-cell proteomics but really also generally used for very low sample amounts, such as, of course, sorted and single cells but also for immunopeptidomics, FFPE slide, specific tissue sections, etcetera, a very nice case example of success of going to broader clinical proteomics research. Switching to Slide 9. Often, we talk about magnets. Here, I really want to talk about the science and the novel functional structural biology research that's being enabled by other probe technology, in particular, NMR probes. There is a new 8-millimeter Cryoprobe for 15N, a very -- normally, a very insensitive nucleus but with a special 15N-TROSY experiment developed by Professor Hari Arthanari and other coworkers. We've reached dramatic sensitivity and very significantly increased resolution for complex larger proteins and for these pathobiologically very important intrinsically disordered proteins. And there is a very nice statement here that I'll let you read, that allows really a great expansion of the applicability of liquids NMR to more and more protein systems, including intrinsically disordered proteins. On the solid-state NMR side, there has been dramatic further progress with 160 kilohertz Magic Angle Spinning, or MAS, probe, imagine that something that rotates 160,000 times per second. And this is mechanical rotation, not radio frequency. Anyway, with this new probe which is completely unique as far as we are concerned, it's used for biological applications by Professor Guido Pintacuda at Lyon, France and it significantly enhances the ability of high-field NMR to push structural cellular and disease biology research in solid-state NMR, for instance, for membrane proteins, amyloid neurodegenerative diseases and many other fundamental biology and disease biology questions. So after this nonfinancial excursion into what we're doing, in summary, Bruker delivered a strong third quarter with good organic growth and margin expansion. While the macro environment remains difficult to forecast for 2023, we also believe that the strong demand for our differentiated products and solutions, combined with our strong backlog, will make Bruker quite resilient in the coming year. We expect to give fiscal year 2023 guidance when we report our results for the fourth quarter of '22 in February. With that, let me turn the call over to our CFO, Gerald Herman, for further details. Gerald?
Gerald Herman: Thank you, Frank and thank you, everyone, for joining us today. I'm pleased to provide more detail on Bruker's third quarter and year-to-date 2022 financial performance, starting on Slide 11. In the third quarter of 2022, Bruker's reported revenue increased 4.9% to $639 million which represents an organic revenue increase of 12.7% year-over-year. We reported GAAP EPS of $0.59 per share compared to $0.57 in the third quarter of 2021. On a non-GAAP basis, third quarter 2022 EPS was $0.66 per share, an increase of 4.8% from the $0.63 we posted in the third quarter of 2021. Our third quarter 2022 non-GAAP operating income increased 14.2% and our non-GAAP operating margin increased 180 basis points year-over-year to 22.4%, with expanding gross margins and operational leverage more than offsetting our increase in Project Accelerate 2.0 operating expense investments. We finished the third quarter with cash and cash equivalents of approximately $626 million. During the quarter, we used cash to ramp selected Project Accelerate 2.0 investments, fund capital expenditures and fund share repurchases. In the third quarter of 2022, we repurchased 1.2 million shares for approximately $72 million. And year-to-date, we purchased 3.8 million shares for $238 million. As a reminder, in the full year of 2021, our repurchases totaled 2.1 million shares for approximately $153 million. We generated $69.5 million of operating cash flow in the third quarter of 2022. Our capital expenditure investments were $57.7 million, resulting in free cash flow of $11.8 million for the third quarter of 2022. This is an increase from free cash flow in the third quarter of 2021 of $4.2 million. Slide 12 shows the revenue bridge for the third quarter of 2022, as discussed earlier. Compared to the third quarter of 2021, BioSpin third quarter '22 organic revenue was down slightly from a difficult comparison in the third quarter of 2021 with over 20% growth. Nano organic revenue grew in the low 20% range, driven by strength in Nano's semiconductor and industrial businesses. CALID organic revenue grew mid-teens percentage, driven by strong growth in both the Life Science Mass Spectrometry and Optics businesses. The third quarter of 2022 Scientific Instruments systems revenue grew in the teens percentage, while aftermarket revenue grew high single digits organically compared to the third quarter of 2021. Geographically and on a BSI organic basis in the third quarter of 2022, our Americas revenue grew in the mid-teens percentage. Asia Pacific grew in the low double digits, while European revenue had low double-digit percentage growth all year-over-year. In the third quarter, our Rest of the World organic revenue which is small as we categorize it, grew in the mid-single digits. Slide 13 shows our third quarter 2022 P&L performance on a non-GAAP basis. Non-GAAP gross margin of 53.2% increased 150 basis points from 51.7% in the third quarter of 2021, benefiting from our Project Accelerate 2.0 mix, pricing and currency tailwinds, partially offset by inflation. 2022 non-GAAP operating margin of 22.4% was 180 basis points higher than the 20.6% margin we delivered in the third quarter of 2021, as higher gross margins and operating volume leverage benefits, partially offset our increased sales and marketing investments towards high-growth, high-margin Project Accelerate 2.0 initiatives. In contrast to the second quarter of 2022, our ramp in revenues outpaced the sales and marketing operating expense ramp, despite ongoing supply chain and logistics challenges. For the third quarter of 2022, our non-GAAP effective tax rate was 30.4% compared to an unusually low effective tax rate of 19.2% in the third quarter of 2021, primarily due to unfavorable discrete tax items. Weighted average diluted shares outstanding in the third quarter of 2022 were 148.6 million, a reduction of approximately 4.2 million shares or 2.7% from the third quarter of 2021, resulting from our share repurchases over the past 12 months. Finally, the third quarter 2022 non-GAAP EPS of $0.66 was up 4.8% compared to a strong third quarter of 2021. Slide 14 shows the year-over-year revenue bridge for the first 9 months of 2022. Revenue was up $87.9 million or 5.1%, reflecting organic growth of 10.7%. Acquisitions added 1.3% to our top line, while foreign exchange was a 6.9% headwind. And Frank has already covered the drivers for the year-to-date 2022 performance. Non-GAAP P&L results for the first 9 months of 2022 are summarized on Slide 15, with the drivers largely similar to the third quarter of 2022 and as explained on the slide. Turning to Slide 16. In the first 9 months of 2022, we generated $8.3 million of free cash flow compared to free cash flow of $80.2 million in the first 9 months of 2021. Higher working capital, together with increased facility and capacity expansion investments in capital expenditures reduced our year-to-date 2022 free cash flow year-over-year. Our cash conversion cycle at the end of the third quarter of 2022 was 240 days, an increase of 3 days compared to the third quarter of 2021. And we continue to carry elevated inventory to manage supply chain risks as well as to meet growing backlog from excellent year-to-date bookings. Turning now to Slide 18. Given the strength in revenue and bookings growth in the first 9 months of 2022 and our significant backlog, we're increasing our full-year 2022 guidance for organic revenue growth and operating margin expansion while holding our EPS guidance for the full year. Reported revenue growth has been decreased due to a stronger foreign exchange headwind. Our updated outlook for fiscal year 2022 now includes the following: we're now guiding to 8% to 10% organic revenue growth year-over-year, up from our prior guidance of 7% to 9%. We now estimate a foreign currency headwind of 8%, up from our prior guidance of 6% due to a stronger U.S. dollar against most major currencies. We expect acquisitions to contribute about 1.5% to growth, unchanged from our prior guidance. And this is now expected to lead to reported full-year 2022 revenue growth in a range of 1.5% to 3.5%. We're increasing our non-GAAP operating margin expansion guidance to 60 to 90 basis points of expansion in 2022, up from our prior guidance of 30 to 60 basis points. This implies non-GAAP operating margins of 20.0% to 20.3% versus our 19.4% level in 2021. On the bottom line, for the fiscal year 2022, we are holding at our non-GAAP EPS estimated range at $2.29 to $2.33 which represents non-GAAP EPS growth of 9% to 11% compared to 2021. We project a non-GAAP tax rate of approximately 29.5% for fiscal year 2022. Other guidance assumptions are listed on the slide. Our fiscal year 2022 ranges have been updated for foreign currency rates as of September 30, 2022. To add color to the fourth quarter, we still expect continuing logistics, supply chain and geopolitical risks to constrain our fourth quarter performance. With that background, we currently anticipate upper mid-single-digit organic revenue growth year-over-year in the fourth quarter. To wrap up, Bruker delivered another quarter of solid organic revenue growth and continued solid bookings performance. We also posted encouraging margin expansion on both the gross and operating lines. Our teams delivered another quarter of excellent execution under challenging conditions. And with that, I'd like to turn the call over to Justin to start the Q&A session. Thank you very much.
Justin Ward: Thank you, Gerald. I'd now like to turn the call over to the operator to begin the Q&A portion of the call. [Operator Instructions] Operator?
Operator: [Operator Instructions] Our first question today comes from Jack Meehan from Nephron.
Jack Meehan: Wanted to talk a little bit more about the supply chain and what you're seeing here. Obviously, the third quarter came in better than expected but it sounds like you're still expressing a little caution about the fourth quarter. Can you just talk about like median time to delivery, how that's trending? And when you think this could come back down to more normalized levels?
Frank Laukien: Yes, Jack. This is Frank. So logistics issues are getting better and logistics inflation is becoming less severe. Supply chain issues, while there is hope on the horizon, the -- it is still a difficult situation. And so that isn't getting worse but it's not getting better quickly. We're guesstimating that maybe supply chain may normalize in the second half of next year and logistics situation clearly has improved with that there's always some exceptions. As to our high backlog for Scientific Instruments, that's about an unusually high nearly 8 months on average. It depends a little bit. We probably would bring that down. We'd like to bring that down by a couple of months or more over the next 2 to 3 years if demand stays healthy, as we see it right now. And I guess it gives us a little bit of optionality that if 2023 was more of a downturn, then it's difficult to predict, then obviously, that would provide an excellent cushion for us. So that's how we view it at this time.
Jack Meehan: Great. And then I wanted to dig a little bit more into the Nano performance here with organic growth over 20%. Can you talk about, maybe notably on the semiconductor side, what you're seeing in terms of demand there? There's been some mixed signals because you see real new investment from some companies around chips and science and other things but also maybe some weaker demand signals in the market. So just how do you -- just given all these signs, what does it mean for Bruker in this end market?
Frank Laukien: Yes, excellent question. It is mixed signals indeed, as you've seen some memory pricing and there might be a lot in memory chips and so on. There is also some -- there are some additional export restrictions to China on semiconductor metrology which at a minimum, will lead to delays for getting approvals and certain types of equipment will not be possible to export anymore. That's -- of course, there's great offsets to that with technology innovations. About half of what we sell in semiconductor metrology goes into new technology buys, as we call them. Those continue very, very strongly. Capacity buys are slowing down a little bit but we still have excellent backlog. And of course, perhaps with a little bit of a delay but this CHIPS and Science Act with the investment in semiconductor technology and fabs in the U.S. And by the way, also in Europe, although there is a single act to support that, we think, will provide a strong tailwind to us and the industry in general. We're beginning to see some buying but I think most of that will begin next year. And until that really materializes as a revenue and P&L tailwind for us, we'll be probably more $425 million, $426 million [ph]. So overall, given that there is a bit of a downturn or a slowdown for sure, there are many mitigating factors that we think will -- from backlog to us having at least half technology buys to the major investments that are coming in that are coming and have begun in the U.S. and to a lesser extent but also significantly in Europe. We feel very good about that business and it's a high-margin, high-growth business for us. So that's the mix picture, if you like.
Operator: Our next question comes from Patrick Donnelly from Citi.
Patrick Donnelly: Frank, maybe to follow up on Jack's question there. I mean you talked a little bit about the backlog there going into '23. To your point, if the macro does slow down, it probably benefits you, inflates you guys a little bit, given the backlog. How sticky do you typically see that backlog? I tend to think of it pretty high relative to others, given the segments you play in. Customers don't have kind of options to go elsewhere. So maybe talk a little bit about that. And then how much more visibility does the current backlog give you into next year compared to your typical starts to the year? And then the only other moving piece, Gerald, just how do you think about FX for next year, given current rates?
Frank Laukien: All right. Thanks, Pat. Yes, I'll start. So yes, our backlog is really quite sticky. If once people order from us and we have purchase orders and very often also down payments with that, it is extremely rare and financially completely immaterial that there would be any backlog cancellations. We do -- last year -- well, this year, really, it seems like last year. This year, we had a couple of percent revenue headwind from Russia and Ukraine basically dropping up as markets for us. Next year, we may see a 1% to 2% headwind from delays or it being not possible to deliver certain semiconductor metrology equipment to China. So that may be a bit of a headwind for next year but it's pretty manageable for us. And we are estimating one, certainly less than 2%. And mostly, we're expecting it to be delays. Having said all of that, with our strong backlog, we really add about 8 months of backlog. That's the highest reach that we've ever had for Scientific Instruments and we certainly, not all in 1 year but over 2 to 3 years, we'd like to bring that down to below 6 months. So that really smoothens out our, I think, P&L and revenue trajectory quite a bit. And as I said earlier in my prepared statements, I think we'll -- that, along with the excellent progress on the Project Accelerate initiatives, I think, really makes us very resilient for 2023 if this is a year of defense. But we're really making excellent progress and have good market share gains in many, many areas.
Gerald Herman: And Pat, to your question regarding foreign exchange, it's Gerald, I would just add that I wish I could predict the foreign exchange markets in 2023. I'm not quite in that place at this stage. It's volatility. Clearly, the U.S. dollar continues to strengthen under the current conditions and will stabilize itself for the last quarter. So I'm not quite ready to talk about foreign exchange for 2023 at this stage. But you...
Frank Laukien: But usually, we don't speculate on that. We just take today's rates or rather, I guess, formally October 1 rates and that's how we make our September 30 rate, same thing, right and make the prediction. So we don't predict FX, we don't.
Patrick Donnelly: Right. Yes. No, I mean, it seemed like be a bit of a headwind but that will be -- see what happens. And then, Frank, I guess there...
Frank Laukien: Oh, no, it will be somewhat of a headwind at the beginning of the year to revenue, that -- we acknowledge that. But we just assume the rates are whatever we have as most recent rates. Yes.
Patrick Donnelly: And then, Frank, during the quarter, we got a decent amount of questions just on the Europe backdrop, given the macro. You guys put up good results there. I think you called out low double-digit growth. Maybe just give us some perspective about customer conversations, what you're hearing in Europe? What that academic market looks like as we work our way into '23, just given the macro fears there?
Frank Laukien: Yes. We don't really see any -- I mean, the investments in academic research, in life science, in disease research in Europe. We continue to see that very strong. Also Biopharma investments continue strongly, particularly in the U.S. but also in Europe and of course, also in China and some other geographies. So I think for the type of products that we're making, the concerns about Europe are -- yes, it's not 0 but it's -- they're greatly over -- they're exaggerated. Europe is, for our type of products and for most of our industry, probably quite healthy. Plus, one thing that kind of may not be so obvious, if you look at our year-to-date revenue mix for the Scientific Instruments for the first 9 months, it's now about the same at 32% Europe, 32% Americas. That is very different from Bruker a few years ago, as recently as 2020 for the full year then for Scientific Instruments. It was in the high 30s for Europe and mid-20s for the Americas. So we have grown so significantly in the Americas, in academic and biopharma with proteomics, with so many other products that we have that we are not as historically exposed, if you like, to Europe, as Bruker traditionally has been. It's quite a milestone for us that year-to-date, our Americas and Europe revenue is about the same at about just under 32% of our revenue. That's a different Bruker than you remember, I would guess, at least. Yes.
Operator: Our next question comes from Puneet Souda from SVB Securities.
Puneet Souda: So first one, I just want to clarify, last quarter, you were confident of the 2 gigahertz -- 2 of the gigahertz NMRs in the fourth quarter. But now you're saying it could be 1 or 2. So what is sort of gating that? Is it the acceptance of the instrument? And sort of how should we think about the USF [ph] gigahertz magnets in sort of 2023? And obviously, the numbers here are strong but just want to sort of get a sense of how you're thinking about that in the fourth quarter?
Frank Laukien: That's correct, yes. We initially thought we would have 4 this year. Now we're hedging a little bit by saying 3 to 4 which implies 1 to 2 in the fourth quarter. And these systems are manufactured and have passed final tests. So that's not the gating item but by the timing it takes to install them. And some of them, of course, there is some rework that needs to be done. So that's why we're guiding to 1 or 2 systems in the fourth quarter and that's 3 to 4 for the full year. We haven't -- we're not giving 2023 guidance but it's probably going to be similar in that, around 4 systems per year seems to be our run rate. And over time, that's probably going to go up as we also will have gigahertz systems in addition to the 1.2 gigahertz, as you know, then slightly different technology, different manufacturing attracts. But yes, that's -- we're -- our guidance, of course, for the fourth quarter is that's all baked in that we -- so we -- if we only have 1 which is possible, right, if one of them would move into the first quarter of next year, that's not a big deal. I mean, overall, we are pretty confident we can reach our implied -- our color and implied guidance for the fourth quarter and the raised guidance, at least on the organic revenue growth level for the full year 2022. So I wouldn't let us worry, so to speak. Not to be flippant here but let us worry about the exact timing. We tend to balance that if 1 does shift into next year. Right now, it's 1 or 2 that we're anticipating in the fourth quarter.
Puneet Souda: Okay, great. And then just one for you, Frank and then maybe just a brief one for Gerald. Backlog, obviously, as you pointed out, strong 8 months and book-to-bill is more than 1. So how -- can you characterize a little bit about where is end markets and geography of this backlog? Is it just largely a representation of what we have seen with Bruker revenue and some segmentation across Bruker revenue? Meaning that is it sort of more levered to Biopharma versus Industrial versus -- again, you have a large presence in Europe. So just trying to characterize the sort of the backlog. And as you pointed out, this is pretty sticky. So, I just want to get a picture there. And then, Gerald, op margin, obviously, significantly ahead of us. Just can you talk a little bit about the sustainability of that into sort of 2023?
Frank Laukien: Yes. So Puneet, we're -- I don't mean to frustrate you because it's an excellent question. We don't see any clear patterns yet. Europe is stronger than most would have expected. Industrial and Applied is stronger at this point than perhaps many would have expected. Semiconductor metrology is excellent, despite some headline news about slowdown in some CapEx investments and in memory chips and so on. So there clearly is more of a mixed headline news and macro picture but we don't really see it very much yet for us. China has continued solidly. Europe has continued solidly. And yes, also macroeconomically, more sensitive markets such as non-semiconductor industrial or applied markets, so far, are really quite strong for the year. So it's a bit of a disconnect between what we see on the newspapers or on the Internet versus what we see in our own data. So we're all going into next year a bit more cautiously in our planning than into this year, our last year was more of a boom. This year was a very strong year. But so far, it's really quite strong in what we're seeing in our own data, including bookings. So not a lot to be learned and we're looking very carefully because we have all the same questions you just asked and they are obviously very good questions.
Gerald Herman: Puneet, it's Gerald. If I may just comment on third quarter margin performance. Operating margin performance was pretty solid, as you pointed out. I mean a lot of that has to do with the Project Accelerate 2.0 mix as well as our volume drop down through to the operating margin line. I would also point out, if you didn't catch it in my prepared remarks, I mean we had extremely strong operating profit for the quarter, 14.2% EBIT. I would say, generally speaking, I'm not going to comment on where that takes us for the 2023 period. We'll talk a little bit more about that in February. But obviously, we're quite encouraged with what we see at this stage. It's clearly moving completely in the direction we were hoping for.
Frank Laukien: But look at the year-to-date results, not at 1 quarter. You remember that our second quarter was a bit weaker than we would have liked. We met and exceeded consensus but we would have liked to achieve more. But then towards the end, logistics and supply chain did not allow that. We had a bit of a boost from that in Q3. So looking at the average of the first 3 quarters of the year, it's really more informative than focusing on any 1 quarter, even if it's a very good quarter like Q3.
Puneet Souda: Got it. Super helpful. And congrats again on -- despite the backdrop.
Frank Laukien: Thank you.
Gerald Herman: Thank you.
Operator: Our next question comes from Dan Arias from Stifel.
Dan Arias: Frank, I just wanted to ask a follow-up question on BioSpin. I mean it sounds like demand for the high field portfolio is pretty strong right now. What are you seeing on the Benchtop side for some of the Applied market applications? Just curious if growth there is noticeably different from the high end? And if so, how different?
Frank Laukien: Yes, good question. Thank you, Dan. So let me split Benchtop and Applied a little bit. There's some applied Benchtop business but the much larger Applied and clinical research business, there is, of course, also mid-field superconducting systems, typically 400 megahertz for food analysis, our NMR food screener or our IBD -- our research system, our clinical research system at 600 megahertz, so that demand is good and supply chain is challenging. But overall, we've managed so far with some slowdowns and that's why we have more backlog. Benchtop is being -- the Benchtop growth is good this year but not very good because of some supply chain limitations. Some of the magnet materials and some of the other things that go into that product line have not allowed us to ramp production as much as we would have liked. Keep in mind, that's a tiny amount, tiny, tiny part of BioSpin at this point. Of course, it's one that holds promise for the future. So it's growing in the double digits but not quite as fast as we would have liked to and that is primarily of supply chain this year. We think that's going to normalize at some point in 2023, the much larger Applied and clinical research, superconducting NMR business and the demand for that. And not to forget the BioSpin Preclinical Imaging business which is primarily MRI, PET/MR, PET/CT, is doing very, very well. And last but not least, the service and consumables business has very nice, very solid, high single-digit growth. It's just chugging along and it's a very nice margin business.
Dan Arias: Yes. Okay. And then apologies for sort of beating the dead horse on Europe. But I guess I'm just curious about whether your customers are specifically talking about the energy issues and the concerns that people have just as the winter approaches, I mean, especially at sites that do draw a lot of power, physics labs, etcetera. I mean, is that coming up in conversation? Or is that just sort of baseline noise and...
Frank Laukien: No, no, no. Absolutely, it's front and center everywhere in Europe, in Germany but also in Switzerland, I mean, everywhere in Europe. So the inflation is there. The governments, including the German government, just now, have decided to basically put a lid -- sorry, a cap on that and have the taxpayer, thank you very much, pay much of that and therefore, limit for the consumers as well as for industry, the overall inflation impact. But there is very significant energy and electricity cost inflation in Europe. Now some industries from fertilizer to beer brewing to glassblowing to whatnot there, for them, it's fundamental and structural and some of them are slowing down their investments. They're moving to other locations in the world. For us, it's not structural. For us, it's an inflation driver which we acknowledge. Inflation drivers, they are a headwind this year, for sure, to our margin expansion. However, as you've seen, we've more than compensated, we've overcompensated for that with many other positive drivers. And I mean at this point, Germany finds itself in the ironic situation that its gas supplies are full. Of course, they have to last through the winters but at least it's a good starting position. The French nuclear power plants mostly are back online or coming back online from maintenance before the winter. So it doesn't look quite as dire as it might have looked 6 or 8 weeks ago. Nonetheless, there is risk. I don't think we're -- I mean, everybody is dressing warmer and tiling down the temperature and saving energy and so is Bruker. We're making additional investments in photovoltaic and solar for next summer when we need cooling, quite honestly, more than heating. So it's messy and it's a risk. But I mean if I think what could be the worst risk, right, to Bruker, we have multiple factories that wouldn't be affected simultaneously. If at some point, in Q1, one of our factories had to shut down for a week, the others would keep moving. And by the way, the same can happen with wildfires or earthquakes in California or when we had the power outages in Texas some years ago due to a very cold winter. So it is manageable. But yes, there is risk, there is elevated risk and there is inflation. I think that's kind of the picture. I'm not really worried for next year's business plan. Could something move from Q1 to Q2 in a worst-case scenario that I would consider as low probability? Yes, there is that type of risk. But with that quantitatively and looking at the different elements, it's actually overall manageable and I'm really not concerned about Bruker's next year's business plan because of that.
Dan Arias: All we can ask is that the breweries make it through.
Frank Laukien: Luckily, there's plenty of them. And there's a few non-European breweries but yes.
Operator: Our next question comes from Josh Waldman from Cleveland Research.
Josh Waldman: Two for you. Frank, I guess, starting with a high-level question and a bit of a follow-up. I mean growth over the last 18 months has obviously been quite strong. Bookings are up double digits year-to-date. It sounds like backlog grew again in the third quarter. I'm curious, is there anything in the opportunity funnel or in conversations with customers that lead you to believe we might see a normalization in new orders or purchasing as we look out over the next several quarters? I guess just trying to rationalize the macro headwinds with your comments on strong broad-based order trends here recently.
Frank Laukien: Well, I think there is a -- we're growing. Our backlog is growing. Our book-to-bill for Scientific Instruments was greater than 1. But within that, there is a slowdown in growth, right? The growth was faster in '21 and the order growth was even faster year-over-year in the beginning of '22. So you see a bit of a -- you see -- well, it's a nice way to -- it is still very, very healthy but it is not -- I wouldn't characterize it as booming anymore. It is very healthy for us even with non-booming macro conditions because of the strength of our portfolio. Proteomics is doing really, really well. We're doing very, very well with our Biopharma tools in all -- essentially all geographies or most geographies and again, proteomics being a key tool that's also being used in Biopharma quite strongly, semiconductor, many other examples that I could cite. But it's not booming like 2021 and the growth is not as fast -- and the growth in bookings is not as fast anymore as in the first half of the year. So, you see a gradual -- you don't see a slowdown. I don't want to use that word; now I've used that word. But you see lesser growth compared to the very high growth in the first half and last year. So we acknowledge that. And we would expect that the economically more sensitive industrial and applied markets will see lower growth in the next, I don't know, 12, 18 months, then. But will they -- they still see growth and that's really the point here, right? But the growth is not quite as high anymore which is still a very, very healthy setup along with the backlog but we don't just live off our backlog. I mean our order intake is excellent. And indeed, book-to-bill in Scientific Instruments was greater than 1 in Q3 and backlog did go up further. So it's still very healthy but I wouldn't -- it's not boom times anymore.
Josh Waldman: Got it. That's helpful. Then, Gerald, a follow-up on op margins. Could you talk through how you're thinking about the cost price mix progression on the impact to margins as you look ahead to the fourth quarter in '23? Obviously, nice margin performance in Q3. How much of that was cost starting to abate versus price starting to show up in the P&L? And then I guess just a comment on your expectation for price contribution here in '22 and what that looks like in '23, based on how you price the backlog, would be helpful.
Gerald Herman: Yes, we've -- good question. So we've discussed this a little bit in prior calls. But just fundamentally, we do still see an inflation cost pressure headwind net of price realization. And that was the case for the early part of '22 and continues to be the case for the latter part of '22. But fundamentally, we are seeing stronger price realization as we move through '22. And that is helping us, I think, certainly on the margin performance. We continue to take pricing actions wherever we can in the markets in which we feel we are well positioned to do so. And I think that's really important for not only the fourth quarter but also for the future, including 2023. Yes, I think generally speaking, the performance has been very solid. You see the numbers reflected in the gross margin performance over the last couple of quarters.
Operator: Our next question comes from Derik De Bruin from Bank of America.
Nisarg Shah: This is Nisarg on for Derik. So I wanted to start off asking about Biotyper [ph] demand. As hospitals and later are seeing inflationary pressures, how should we think about placements there?
Frank Laukien: So if I understood the question correctly, it's the MALDI Biotyper clinical microbiology business. This is Frank. So we continued very good growth in consumables year-to-date. Last year, we had some -- 2021, we had some significant orders from Russia in MALDI Biotyper and also earlier last year and the year before but deliveries were mostly last year from the CDC and their center for disease control in China, some significant orders with that. The instrument revenue for MALDI Biotyper, this year, it's down year-over-year but with some exceptionally large deals last year. And consumables business is just growing very nicely. So overall, clinical microbiology is up this year but not as strongly as last year.
Nisarg Shah: Got it. And then following up on some of the supply chain constraints you mentioned earlier from this year. Are you seeing any catch-up spend in this quarter, anything you're looking forward to in 4Q?
Frank Laukien: Yes, we're not really aware of that. Nobody has told us that they're catching up or that there's some sort of a budget flush. Those things don't tend to affect us as a more than 50% instruments business with a lot of backlog as much as some primarily consumables or aftermarket companies. So I wouldn't know. It's not -- we were not aware of it.
Operator: Our next question comes from Rachel Vatnsdal from JPMorgan.
Rachel Vatnsdal: So following up on some of the earlier comments just about order book visibility, can you just talk about cancellations and how big of a risk that is? So let's say if the macro backdrop continues to deteriorate, how locked in would your order book be? And then maybe can you compare that to prior economic downturns to what your cancellation rate look like then?
Frank Laukien: Yes. It's essentially -- it's immaterial then and we expect it to be immaterial now, next to nil. It's a pretty simple answer. Sorry, if I keep it short but we just don't -- our backlog doesn't usually suffer from cancellations.
Rachel Vatnsdal: Got it. Okay, that's helpful. And then last one for me. Just looking at the quarterly cadence, you guys did almost 13% organic growth during the quarter. And then for 4Q, you're expecting that upper mid-single-digit growth. So I understand there's some lumpiness but can you kind of walk us through some of the puts and takes on the 3Q growth this quarter? How much of that 13% was from pent-up demand from 2Q and the supply chain constraints you saw? And then, are you seeing any pull forward from 4Q demand as well?
Frank Laukien: Rachel, as I said earlier, don't look at Q3, don't look at Q2, look at year-to-date. Year-to-date organic growth at 10.7% is a meaningful measure. We're guiding to 8% to 10% for the year, obviously, because there always are some continued risks. We've been able to nicely overperform in Q3. We're only barely meeting consensus in Q2. So each quarter is still a supply chain and other -- and lockdown and whatnot challenge. So we take that into account, hopefully, prudently. And I think the key to really understand Bruker is to look at the year or the year-to-date. That's my comments.
Gerald Herman: Maybe we have time for one more question. One final question.
Operator: And our final question today comes from Brandon Couillard from Jefferies.
Brandon Couillard: Just a couple of housekeeping items for you, Gerald. Can you just speak to the third quarter BSI organic order growth, specifically the rate? And does that exclude any ultra-high field orders?
Frank Laukien: So in the -- I understood, Brandon. In -- we had, I think, 3 ultra-high field orders in Q2 and none in Q3 on that housekeeping item.
Gerald Herman: That's right.
Frank Laukien: And then BSI book-to-bill was greater than 1 in Q3 as well, if that address the two questions.
Brandon Couillard: Okay. And then Gerald, what was the impact of currency on gross and operating margin expansion in the third quarter?
Gerald Herman: I think we've maybe gone through this before, Brandon. But generally speaking, foreign exchanges, it's got volatility. I think we've talked about when the U.S. dollar strengthens, the -- we had a headwind on the revenue line. We have generally some favorability because of our foreign operations in both the gross and the operating expense categories and it's pretty neutral when it gets down to the EPS line. So I think that's generally the case. Again, we did see some favorability in the third quarter related to foreign exchange down at the bottom line. But other than, I think that's the...
Frank Laukien: If you think about it, if I may, poses a little bit more broadly. If you look at -- we do have some margin tailwinds from FX this year. and we have inflation headwinds, those nearly offset. And by the time you get to EPS, it's relatively small, although we do acknowledge a bit of an EPS, a small EPS headwind and from currency which is why you've seen that, for instance, that we haven't raised our EPS guidance, even though our margin guidance is higher. Margin, yes, it is correct.
Gerald Herman: That's right.
Frank Laukien: Hope that helps.
Operator: And ladies and gentlemen, with that, we'll end today's question-and-answer session. I'd like to turn the floor back over to the management team for any closing remarks.
Justin Ward: Yes. Thank you for joining us today. Bruker's leadership team looks forward to meeting with you at an event or speaking with you directly during the fourth quarter. Please feel free to reach out to me to arrange any follow-ups. Have a great day.
Operator: And with that, ladies and gentlemen, we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.